Operator: Good day and welcome to the Coca-Cola Enterprises first quarter 2010 earnings conference call. At the request of Coca-Cola Enterprises, this call is being recorded for instant replay purposes. At this time I would like to turn the conference over to Mr. Thor Erickson, Vice President of Investor Relations. Please go ahead sir.
Thor Erickson: Thank you and good morning everybody. We appreciate you joining us this morning to discuss our first quarter 2010 results and outlook for the rest of the year. Before we begin, I would like to remind you all of our cautionary statement. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning’s release as well as the detailed cautionary statement found in our most recent annual report on Form 10-K and subsequent SEC filings. A copy of this information is available on our website at www.cokecce.com. This morning’s prepared remarks will be made by John Brock, our CEO, and Bill Douglas, our CFO. Steve Cahillane, President of our North American Group, and Hubert Patricot, President of our European Group are also with us on the call this morning. Following prepared remarks we will open the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question and we will take follow up questions as time permits. Now I’ll turn the call over to John Brock.
John Brock: Thank you Thor, and we thank each of you for joining us today as we discuss our first quarter 2010 results and also review the progress of the transaction with the Coca-Cola Company. In the first quarter we achieved comparable earnings per share of $0.27, which is up $0.07 from our results for the first quarter a year ago. This includes a $0.01 per share currency benefit. Comparable consolidated operating income grew 9.5% though revenue declined just over 1%. Overall we’re encouraged by these results, which were achieved through continued solid growth in Europe and our ability to manage through difficult operating conditions in North America. In light of these results and our outlook for the remainder of our year, we’ve increased our full year guidance. We now expect comparable currency neutral earnings per share growth of about 10%. Bill will provide more detail on this in a moment. Now, let’s look at our territory results. In Europe, currency neutral operating income was up 9% through a combination of balanced volume and pricing growth. In addition, we continue to execute against initiatives that are driving both efficiency and effectiveness. Much like last year, our Red, Black and Silver Sparkling portfolio remains a key growth driver throughout our European territories, with volume up 3.5%. Brand Coca-Cola continues to generate a majority of this growth, even as we continue to develop Coca-Cola Zero as a key brand. We also achieved a strong 30% growth in Energy. In addition, we’re improving our still portfolio with the introduction of Ocean Spray juice drinks into both Great Britain and France, continued growth from Glacéau, and the introduction of Capri Sun in both Belgium and the Netherlands. Going forward this year we will focus on key areas of our business in Europe. First, we will fully realize the benefits of our World Cup opportunity, and in fact execution has already begun against this initiative. The World Cup is a tremendous marketing asset and we know that our execution plans for the event are exceptionally strong, with programs tailored to the needs of key customers and to specific markets. This creates significant store placement opportunities which we will seize with world class execution. Second, we will continue to grow our Energy segment, which offers excellent opportunities through the addition of Monster, as well as the ongoing strength in Burn and Relentless. And third, we will execute our initiatives to drive increasing levels of effectiveness, both in terms of how we operate and how we interface with our customers. We’ll also benefit from initiatives that will continue to optimize key business functions. One example here is our cooler service initiative to improve operations, create savings and strengthen service. In addition, we also continue to transform our go to market models, building direct store delivery, quality service and availability into our system where it’s appropriate, and improving levels of customer service. Now let’s turn to North America. Our first quarter results reflect a challenging quarter with difficult economic conditions, weak consumer spending trends, and severe weather that limited our overall performance. In the first quarter comparable operating income declined 2%, revenue declined about 5%. Revenue was negatively affected by pricing, mix and a decline in volume. Pricing reflects the mix impact of slower single serve sales, volume declines in higher price still drinks and increased multi serve volume, driven in part by the shift of Easter into the first quarter. In addition, pricing was affected by the challenge of hurdling 10% pricing growth in the quarter a year ago. This pricing level benefited in part from the overlap of selling both Rockstar and Monster as we transitioned away from Rockstar. Excluding these factors, the overall rate for sparkling drinks was up, although the increase was more modest than expected. Despite this pricing softness, we achieved our sixth consecutive quarter of margin expansion in North America. We remain dedicated to protecting margins and expanding them over time. As we’ve discussed, a key element of our operating strategy is to maximize the value of our brands through strong implementation of our price, package, architecture initiatives which are creating important benefits. For example, we continue to achieve positive results with our two liter contour bottle, which is rolling out nationwide, and then with small bottle PET initiatives in immediate consumption channels. Going forward, North America will benefit from several key programs. In stills for example we’ve added vitaminwater Zero and we will re-introduce Dasani Flavored Waters in on premise channels, and we’ll implement important promotions supporting Fuze. We expect packaging initiatives to accelerate our performance in sparkling drinks as we launch new can configurations and realize the benefits of our two liter contour conversion. In addition, we continue to benefit from the overall strength of our Red, Black and Silver portfolio, which achieved flat volume during the quarter, driven by Coca-Cola Zero which grew by more than 12%, which was importantly a 16th consecutive quarter of double digit growth for that brand. A key element of our North American strategy remains strong execution, both on the field and in our day to day operations. In future consumption, cases on display increased and we continue to attain excellent field level support for our cold drink packaging initiatives. We also continue to achieve excellent results through ownership cost management, which provided important operating expense favorability during the quarter. So in summary, though we face a challenging consumer spending environment in North America, we are encouraged by the steady sequential operating improvement that we achieved through the quarter. Coupled with the operating and marketplace strategies we have in place, this improvement gives us confidence in our full year outlook and we remain on track to achieve our North American operating income targets and objectives. So as we move forward in 2010 we remain focused on the key elements of our business, which will drive long-term success. That is building brand value, driving improved operating efficiency and effectiveness, strengthening customer service and providing our employees with the tools they need to succeed. Our success this year and beyond continues to depend on our ability to respond quickly and effectively to changing market conditions while driving ongoing operating improvement. We accomplished this in the first quarter and as a result we are in an excellent position to deliver our full year objectives, building on the outstanding profitability that we achieved last year. Our work toward being the best beverage, sales and customer service company both in North America and Europe is not finished, but we have an outstanding team of employees at every level of this company that will continue to drive improved performance and execute our plan for 2010. Before I close I’d like to give you a brief update on the status of our transaction with the Coca-Cola Company. It has been two months since our announcement and to date our work to complete this transaction is on track. In North America, Muhtar Kent announced last week his intention to name Steve Cahillane as President and Chief Executive Officer of the new North American entity called Coca-Cola Refreshments. Steve is truly an outstanding choice, and we’re very excited that he will lead CCR going forward. We’re confident that his tremendous skills and dedication will make a very positive impact on the future of Coca-Cola in North America. At CCE, we’re preparing for changes created by this transaction in Europe. We have teams working with the Coca-Cola Company to enable the integration of operations in both Norway and Sweden. In fact, earlier this month we met with employees in both of those territories and received a very positive and warm response. Overall, we are on schedule and employees are embracing this change. And then finally, within our corporate headquarters we have dedicated teams in place and we’ve just announced the intended appointments for the next level of our management team for new CCE. Throughout our company our employees are working exceptionally hard to deliver our plans for the year, demonstrating both their professionalism and commitment every day. They look forward to providing the highest levels of customer service in support of the world’s best brands, and ultimately winning in the marketplace. We are fortunate to have such a talented and dedicated group. This transaction is a positive step for our shareholders, our customers and our employees and we look forward to sharing our progress with you in the months ahead. Thanks again for your time and attention. Now I’ll turn it over to Bill to give a bit more detail on our financial results and our outlook for 2010.
Bill Douglas: Thank you John and we appreciate each of you taking the time to be with us today. I’m actually in Paris joining Hubert on the call today. In the first quarter, we achieved reported earnings per share of $0.21. After adjusting for items affecting comparability, earnings per share were $0.27. These items include $0.01 for restructuring, $0.02 for costs related to our transaction with the Coca-Cola Company, $0.01 for net tax items and $0.02 for legal settlements. Currency was favorable and added $0.01 to the comparable results for the quarter. In the first quarter, total revenues declined 1.5%, primarily due to earlier year softness in North America as conditions in key channels, particularly the on premise channel, remained difficult. However, we have seen some signs of renewed economic and consumer activity in North America as John earlier mentioned. We also saw sequential improvement throughout the quarter. This performance, combined with our positive results and outlook in Europe, and expected year-over-year reductions in corporate expenses, enables us to increase our 2010 EPS growth guidance to approximately 10%. This revised number includes operating income growth in a high single digit range and low single digit growth in revenue. Please note that our improved full year guidance also takes into account an increase in diluted shares outstanding. As previously announced, we have halted our planned share repurchase due to the transaction. This combined with recent market prices has resulted in fully diluted shares outstanding increasing approximately 3% to 504 million shares. This may continue to trend upward for the remainder of the year. Currency, based on recent rates, would have a negative EPS impact of approximately $0.03 per common share for the rest of the year, equating to a net $0.02 negative impact for the full year. We have also raised our full year free cash flow guidance to more than $850 million. For the full year we continue to expect capital expenditures of approximately $1 billion, while interest expense is expected to decline. The effective tax rate for 2010 will be approximately 26%. Additionally, we expect transaction costs to total approximately $100 million. This garnets its structure from the current makeup of CCE. As John mentioned, we expect to close our transaction with the Coca-Cola Company in the fourth quarter of this year, and later on this year we will provide new guidance that will reflect CCE after the close of the transaction. We do not plan to provide specific details for either Norway or Sweden, though we understand these markets are on track to achieve their respective full year objectives. Now as John discussed, we have made good progress towards finalizing the transaction with the Coca-Cola Company and remain on track for a Q4 close. There are several key steps that remain, including receiving various regulatory approvals as well as shareowner approval. Given the nature of these steps, we cannot provide a specific timeline as to how the deal would progress, but again overall we are on track with our plans and importantly, expect to file our S-4 by the end of May. Looking at the capital structure, net debt for new CCE at close will fluctuate based on currency, cash from operations and other factors, but currently we expect net debt at closing to be in a range of $2 to $2.5 billion. After closing, new CCE expects to return cash to shareowners via a planned share repurchase program of approximately $1 billion over the 18 months after close. We also anticipate establishing an initial annual dividend of $0.50 per share. So to review, we are making excellent progress in moving toward a fourth quarter closing for the transaction with the Coca-Cola Company, and in addition we are on pace to deliver our full year results and achieve the increased objectives we set for the company for 2010. Our first quarter results demonstrate a solid step forward towards achieving our goals, and we remain confident in our ability to reach our full year objectives. Thank you very much for joining us, and now Steve, John, Hubert and I will be happy to open the line up for questions.
Operator: (Operator Instructions) Your first question comes from Kaumil Gajrawala – UBS.
Kaumil Gajrawala - UBS: I guess the first thing on volumes in Europe is given the comps that you have for the remainder of 2009, is this low single digit number about right for the remainder of 2010? And then also if you could extend it into long-term, during the conference calls you had around the deal, you talked about the per caps and sustainability of volume so can you maybe give us a read on what volume should look like over the long run? And then also given the comps what they might be for 2010?
John Brock: I’ll ask Hubert to add a little color commentary but I’ll tell you that we have enjoyed continued growth in volumes in Europe over the last several years. And it’s been a combination of really focusing on our Sparkling portfolio and that obviously has been driven by Red, Black and Silver, as well as by supplementing it with a number of other initiatives in other categories ranging from Energy to stills to the introduction of vitaminwater. And it’s been a collective result, which we’ve been very pleased with. I think as we look to the balance of 2010 we are again optimistic about the growth profile that we see ahead of us, and frankly even beyond 2010. We think Western Europe is a market that’s got significant potential. The upper capitas are, per capita consumption numbers for Coca-Cola brands are modest when you compare them to global standards, and we think it looks encouraging. Hubert, would you like to add some perspective to that?
Hubert Patricot: Yes. Maybe a few words on this year, volume up 1.5%, declining GBs that were driven partially because we had adverse weather in GB and of course going forward this will not affect our business. We have strong plans moving forward with the well cap in the next quarter, but we really think that meeting the objective of low, single digit volume growth in Europe is really achievable this year. And on the longer term as stated by John, per capita which is below 200 in our territory, a good brand portfolio with current extension we are having and that will deliver full speed in the next month and years, and strong marketing plan toward the Olympics in 2012, so we are quite [considerate] regarding our potential for growth in Europe.
Kaumil Gajrawala – UBS: Would you be willing to share or could you give us some commentary on how much of an incremental contributor Energy has been this year versus last year?
Hubert Patricot: Energy was a big category, was up 30%. Slightly below 15% of our growth for this quarter.
Operator: Your next question comes from Judy Hong - Goldman Sachs.
Judy Hong - Goldman Sachs: Bill, just in terms of clarification on guidance it looks like the divisional operating income growth guidance hasn’t really changed, so is really the bulk of what’s changed in terms of guidance at the operating income line lower corporate expense for the full year? And does that accrue to the new CCE going forward?
Bill Douglas: Well, just to be fairly specific you know we had garnets in the mid single digit range, so we’re just a little bit higher from a European perspective within that mid single digit range based on the Q1 performance. And then the corporate expenses also improved marginally. So within those ranges, we just felt it was prudent to change the guidance ever so slightly and specifically that resulted in EPS in particular being approximately 10 as opposed to high single digits. So it was very modest changes all in, kind of rounded us up to that end result.
Judy Hong - Goldman Sachs: So the European numbers they come up a little bit in terms of underlying operating expenses.
Bill Douglas: Within that range, yes. And I guess the last comment I would make to your point is most of that benefit would be accruing to CCE but that’s a general statement.
Operator: Your next question comes from Bill Pecoriello - Consumer Edge Research.
Bill Pecoriello - Consumer Edge Research: I wanted to get a little more granularity on the price mix. John, you had mentioned that the price was a little bit softer on the sparkling in the quarter. I guess we saw Pepsi promotion around the Super Bowl and Coke kicked up promotions later in the quarter. What do you see going out? Any visibility into the holiday period? And then the mix, I guess are you expecting improvement there as that can be in store channel picks up into the balance of the year?
John Brock: Yes, Bill, let me ask Steve to tackle that question.
Steve Cahillane: Yes, morning Bill. In the overall result of 2% down for the quarter is clearly not where we want to be, but I think John did some important context setting that I’ll elaborate on. We did have the Easter shift into Q1 this year, which obviously drives more multi packs but also drives more promotional activity. We did see a mix away from higher priced single serve driven by the continued challenges in the economy. Importantly, we’re starting to see some sequential improvement in that. Our on premise business has shown some very favorable signs and our overall IC business has shown lately some very positive signs, so you know we are cautiously optimistic that the margin mix pressure we’re seeing there is improving. Rockstar was in our results for Q1 of ’09 and not for Q1 of ‘010 obviously, so that has an effect. And obviously we’re lapping a 10% increase that we had last year. And if you remove all those items, adjust for all those items, sparkling was actually slightly positive although below our expectations. I think it’s also important to note that based on Nielsen data for the first quarter of 2010, we experienced less retail price decline than our closest competitor did. Having said all that, we remain cautiously optimistic that a more rational pricing environment will rule the day for the balance of 2010. That’s clearly the way that we are trying to drive our own business going forward. That along with the improving trends as I said in IC, and all the activities that we put in place for the course of last year in terms of boost zones, new packages in 14 and 16 ounce, if we see some improvement in the economy that we’ve seen the last couple of weeks, if that continues to improve, I think we’re well set to continue to drive a more positive price mix equation for the balance of the year.
Operator: Your next question comes from Caroline Levy - Credit Agricole Securities.
Caroline Levy - Credit Agricole Securities: I was wondering if you could comment a little bit on how Monster is doing and Peace Tea, the Peace Tea launch in both North America and then Monster in Europe.
John Brock: Hi Caroline. Let me ask Hubert to talk about our Monster results in Europe, and then Steve you can comment on Peace Tea in North America.
Hubert Patricot: The results in Europe have been very good. In most of our countries we have captured in some case up to 10% market share in the Energy category, like in France and Benelux. So it has been very well received by the European consumers. And we are getting more traction by adding new initiatives this year like shots and new products in the range, so it’s a brand which is really doing very well in Europe.
Steve Cahillane: And Caroline, Peace Tea in North America continues to exceed our expectations, although I’d caution you that it’s still very early days in a competitive but very exciting category to be in. Our penetration is increasing and is ahead of target, and our repeat purchases are actually very encouraging. So all in we remain optimistic that Peace Tea has got a bright future in North America.
Caroline Levy - Credit Agricole Securities: Steve, I was wondering if you could also just talk a little bit about the improvements in the last month or so at retail and you know by brand is it stronger in the stills or the CSEs or do we expect when things turn around that stills will outgrow CSEs as they were prior to the recession?
Steve Cahillane: Well we’re seeing a continuation of the trend we saw where the whole sparkling category continues to benefit from the challenges in the economy, and obviously we’ve got an awful lot of innovations and initiatives in the marketplace which are helping drive that. However, having said all that, our vitaminwater business and the launch of vitaminwater Zero is back on track. We had some early supply chain problems, but vitaminwater Zero is exceeding our expectations from a consumer standpoint perspective and helping us drive our overall still business. Our Smartwater brand continues to grow at double digit rates and those are important parts of our still mix. We’re seeing some improvement in flatwater as well, as we get our price package architecture in a place where we want it to be. So you put all that in the mix and I’d say for 2010 I don’t think we’ll see a return to the type of growth rates we saw and still there was a driver of our overall business because sparkling continues to perform very well. And I would see that continuing in the future, but I’d see the challenges around still that we faced last year mitigated some from the innovations we have in the marketplace but also from an overall improving macro economy.
Caroline Levy - Credit Agricole Securities: On Europe, given that your margins improved with volumes soft and pricing soft in Europe, if that accelerates as we expect it to do and that improves in the balance of the year, can margins expand more? Or were there some one time items in that first quarter?
John Brock: Make sure I’ve got your question, Caroline. You’re talking about margins in Europe, right?
Caroline Levy - Credit Agricole Securities: Yes.
Hubert Patricot: Yes. Volume was up 1.5%, pricing was up 2.5% and this was primarily rate driven. And looking for what we expect to grow our revenue, at mid single digits for the year and balancing volume and pricing.
John Brock: And so margins certainly will continue to at least stay where they are, and perhaps modest expansion as we go forward. But we’re committed to maintaining margins and we see no reason that would not happen for the balance of the year in Europe.
Caroline Levy - Credit Agricole Securities: I’m sorry to be confusing. I guess the UK was weaker than expected so I was just wondering if the margin expansion can accelerate as the UK comes back.
Hubert Patricot: I think when UK comes back it will be probably volume driven in the next quarters, and we have to balance our pricing, our promotional support and the volume growth, so I would not expect a huge margin expansion while we move forward.
Operator: Your next question comes from Mark Swartzberg - Stifel Nicolaus & Company, Inc.
Mark Swartzberg - Stifel Nicolaus & Company, Inc.: Yes, really continuing on Caroline’s question there on GB, Hubert. Could you give us a from a volume perspective a little more color on how the quarter played out? And perhaps even some update on April from a volume perspective? And then I had a question on the net revenue per case as well there.
Hubert Patricot: Yes. Great Britain was lapping a quarter of unusually slow growth. Last year volume in the first quarter was up close to 13%, an increase which was driven by Iceland’s promotional activity, [inaudible] and also the introduction of new products. We had last year at the same time the launch of Abbey Well water, the extension of Glacéau and the launch of Monster in GB. And again this was compounded by unusually difficult winter weather in the first quarter of this year. Just to demonstrate it, British retail admits that they have lost something like 601 billion pounds due to weather in the first quarter, so I would estimate that it’s 1 to 1.5 points of growth due to weather in the first quarter. Moving forward we really anticipate GB to return to growth all of the remainder of the year, starting with Q2. And I would say it’s really quite encouraging.
Mark Swartzberg - Stifel Nicolaus & Company, Inc.: On net revenue per case, I don’t want to put words in your mouth but it sounds like you’re saying get a little more promotional to deal with the volume situation, but A is that true and then B are you seeing package mix improve here as the economy gets a little better? I know the unemployment figures are improving there. Are you seeing package mix improve in GB?
Hubert Patricot: I think the economy remains a pretty tough situation, so it’s really for us to balance our promotional support and our rate growth. And I think we’ll continue probably in the same, with the return of the volume growth. I don’t see a lot of improvements yet, but you have to know that overall in Europe we are growing both on the [sealed race] as well as the last stream. So I think we have a channel mix and a brand and package mix which is quite well balanced.
John Brock: Let me add one other comment to what Hubert said. I agree with everything he just said, but I think it’s important for us to keep in mind as we think about our European business that packaging mix is not nearly as important as it is in some parts of the world. And the difference between future consumption and immediate consumption is fairly modest, frankly. So that’s one of the reasons the economy and the shift from IC to future consumption has not been as profound from a profit standpoint in Europe as it is in some other places in the world. So I think it’s really important to keep that in mind.
Operator: Your next question comes from John Faucher - J.P. Morgan.
John Faucher - J.P. Morgan: Just want to sort of get a clarification on that 13% growth in GB last year in the first quarter, is that a days adjusted number or is that an as reported number?
Hubert Patricot: Its comparable days for this year.
John Faucher - J.P. Morgan: Just following up on sort of the last commentary there, and I’ve asked this question before and I was sort of thinking about this, you’ve been able to reduce the volatility of the business on the continent over time by going to the boost zones. At least that’s what you’ve said before. But yet you know between weather and you talked a little bit about the economy and you know the impact on cold bottle volume, it seems as though the big move to immediate consumption through the boost zones is actually lower than the volatility. So I realize you kind of discussed this a little bit in answer to the last question, but can you explain why that’s so? Because it seems like honestly longer term it should make the business more volatile, but instead for you guys it seems to have made it less volatile.
Hubert Patricot: I think John explained also that our channel make up is probably much more balanced and we are growing in all channels, which is for us the recipe for long term sustainable growth. And let’s take the year forward, taking these things like well cap we can activate both and take on the grocery channel and [inaudible]. And we expect to have the same [inaudible], at least in both channels. So we are focused while we put resource in all the channels. And also you know we all thing the same resource in IC in growth rate channel like we are part time merchandiser in GB, which go at the peak times to replenish the coolers and so on. So it’s really deploying our resource in both channels, covering all the profit opportunities and net net, we’re going to have [inaudible] this year in Europe. But we also reinforce our focus on the grocery, what we call the [front] part of the store where we have coolers and with big players like [inaudible], GB.
John Brock: Just to add a little color commentary to that comment, our objective in Europe as Hubert said has been to drive consumption across all channels, and not necessarily to drive it from one to the other. Because frankly they’re all profitable and one of the things we realized in France, particularly, that’s where our whole boost zones concept started, was that on the go drinking was just not a cultural activity. And we saw that it was a huge opportunity if we put in place boost zones in densely populated areas around Notre Dame and [Champ Silat Say] and so forth. And so that was all about not necessarily driving from one channel to another, but frankly driving overall business. And that’s exactly what we’ve done. And frankly we’ve done the same thing in Holland and Belgium and Great Britain.
John Faucher - J.P. Morgan: I guess what I was expecting was like if you go into these big tourist areas and things like this, you would expect that business to get a little more volatile, but it sounds like its not. Is it because you’re really sort of hitting the low hanging fruit from that standpoint, so it was so untapped and so under penetrated that its sort of the first couple of rounds of this volume are going to be less volatile and less susceptible to weather, what have you?
Hubert Patricot: I think first, as you pointed out, it depends by country but in France we are probably in year three of our boost zone strategy. Other countries more years one and two. And we know that year after year we can improve the way we go to the market, but the range, the mid deal association. And I want to point out because I think it’s a good strategy for us we are going after which is Coke with meal. And we are putting this as one of our key priorities in Western Europe to increase the incidents with Coke at the occasion. And it’s both from the [inaudible] channel and at home consumption, and I think one illustration is the above the line campaign, the commercial we are having in GB where we put the three brands at the dinner time occasion in a British family, but at the same time in all the boost zone you will find some comparable offers. So this is really something we are going after, day in and day out in all seasons. And a lot of the incidents in the boost zone is not so much playing to tourism. Its also day to day lunch consumption and we have a lot of support in that. And also strategically it’s very important to drive the recruitment of brands like Coke Zero, of canned drinks or of our Energy drinks.
Operator: Your next question comes from Damian Witkowski - Gabelli & Company.
Damian Witkowski - Gabelli & Company: I was hoping you could expand a little bit on Europe in terms of the competitive environment by region. And then in the U.S. as you talk about some renewed activity in March and I guess going into April, just wondering if you’re seeing it across the entire U.S. or is there more geographic strength in west versus east? Any comment there would be helpful.
Hubert Patricot: Competition remains I would say quite intense in Europe, but really our focus is on growing the categories. And it’s really the way we approach our customers. In each business unit we run what we call a category vision which is what is the potential of growth for this category in our market per channel and consumption occasion. And it’s really the way we engage to tread the customers on the long-term planning, going after this expansion. And it’s really delivering. And just to highlight one market, the soft drink category was the number 11 category in France in terms of share, the turnover in the [iper] and supermarket. It was number 6 five years ago. It’s now the number 1 category for our customers in supers and iper markets in France. So it’s really our [inaudible] to grow the value of the category and to grow the value with our customer, and it’s really what we call the CT way we want to apply in all our markets.
Damian Witkowski - Gabelli & Company: Is it rational or would you describe it as irrational?
Hubert Patricot: I would say rational competitive set, yes.
Steve Cahillane: You know we’re seeing a nice rebound I’d say across the United States. There’s clearly pockets that are doing better than others. The pocket that continues to be more challenged is parts of the western United States where unemployment and under employment remain quite high, where the housing market had more of an effect than it did on the rest of the country. So we see those markets lagging the overall, I wouldn’t go so far as to say recovery but potential recovery and glimmers of hope. From a channel perspective though we’re seeing some better movement across the balance of the United States.
Damian Witkowski - Gabelli & Company: And then if I just could on housekeeping, current debt, the $880 million do you plan to pay that off before the deal closes? And then can you, I don’t know if you can break out or not but the corporate expense of the adjusted $105 million during the quarter, how much of that should we allocate towards Europe?
Bill Douglas: On the first question, the current debt, most of that current debt is actually expiring in the fourth quarter, so that would be part of the transaction. There’s a very small amount, less than $100 million if memory serves me that’s actually maturing before the fourth quarter. And then the other question is probably a little bit too detailed for the call. We can take that one offline with Thor.
Operator: Your next question comes from Carlos Laboy - Credit Suisse.
Carlos Laboy - Credit Suisse: John, as you gain long-term ten year visibility of your concentrated economics in Europe, how does this change or improve your ability to invest in that European business? Are there any profit growth opportunities you feel better about chasing with this new concentrate arrangement?
John Brock: Well, I could ask Bill to provide a little more perspective but I mean basically our agreement is just simply broadly an extension of what we already had in place. We were very happy with that kind of pricing model and it’s basically just an extension. So it will enable us to do what we’ve done in the past, which we’ve done so well. Bill, do you want to add any more to that?
Bill Douglas: Basically that’s spot on. There have been some folks that had mused that it would be nice for CCE to have a long-term concentrate arrangement codify with the Coca-Cola Company and that’s what we did. So it’s basically maintaining the status quo but for a defined five year period. Furthermore I would say that our business in Europe is really good about generating cash and we have invested in the market in the past and we feel very confident in our ability to continue investing as needed going forward.
Carlos Laboy - Credit Suisse: Do you foresee the need to make any change to the non-carb agreement? Maybe to move to a 50-50 split on those?
John Brock: Don’t really anticipate any significant changes at this point, Carlos, but obviously as new opportunities may present themselves, you know we’ll re-evaluate things. But nothing of significance anticipated at this juncture.
Operator: Your last question comes from Lauren Torres – HSBC.
Lauren Torres - HSBC: Your raised guidance I don’t believe included an update with respect to commodity costs so I was just wondering if we should still be factoring in that core commodity cost to be flat to down which is what I think you said last quarter?
Bill Douglas: Hi Lauren. Looking at core commodities we would continue to expect the core commodities to be down low single digits. And also we’ve got coverage and line of sight pretty good now with coverage about two-thirds of our overall core commodities, with the exception obviously of PET. That’s the one thing that is tough for us to use hedges and pick the pricing on. In Europe again we’re pretty well covered as well, with the exception of PET. So low single digit decline would be the overall core commodity impact.
Lauren Torres – HSBC: With respect to North America as you talked about seeing some improvements in immediate consumption, I’m just curious if that means that you’re actually seeing growth in that channel or just less of a decline?
Steve Cahillane: I would say that right now we’re seeing a lessening in the decline.
John Brock: Thank you Lauren and thank you for joining us today. We as always appreciate your time and attention and have a great day. Thank you.